Operator: Good day, ladies and gentlemen. Thank you for standing by. Welcome to the Super Micro Computer Incorporated Fourth Quarter and Fiscal 2015 Conference Call. The company's news release issued earlier today is available from its website at www.supermicro.com. In addition, today's call, the company will refer to a slide presentation that was made available to participants, which can be accessed in a downloadable PDF format on its website at www.supermicro.com in the Investor Relations section under the Events & Presentations tab. During the company's presentation, all participants will be in a listen-only mode. Afterwards, securities analysts and institutional portfolio managers will be invited to participate in a question-and-answer session. But the entire call is open to all participants in a listen-only basis. As a reminder, this call is being recorded Tuesday, August 4, 2015. A replay of the call will be accessible until midnight August 18 by dialing 1-877-870-5176 and entering the conference ID number 5322120. International callers should dial 1-858-384-5517. With us today are Charles Liang, Chairman and Chief Executive Officer; Howard Hideshima, Chief Financial Officer; and Perry Hayes, Senior Vice President, Investor Relations. And now, I'd like to turn the conference over to Mr. Hayes. Mr. Hayes, please go ahead, sir.
Perry G. Hayes - Senior Vice President-Investor Relations: Good afternoon, and thank you for attending Super Micro's conference call on financial results for the fourth quarter and fiscal year 2015, which ended June 30, 2015. By now you should have received a copy of today's news release that was distributed at the close of regular trading, and is available on the company's website. As a reminder, during today's call, the company will refer to a presentation that is available to participants in the Investor Relations section of the company's website under the Events & Presentations tab. Please turn to slide two. Before we start, I'll remind you that our remarks include forward-looking statements. There are a number of risk factors that could cause Super Micro's future results to differ materially from our expectations. You can learn more about these risks in the press release we issued earlier this afternoon, our Form 10-K for fiscal 2014, and our other SEC filings. All of those documents are available from the Investor Relations page of Super Micro's website. We assume no obligation to update any forward-looking statements. Most of today's presentation will refer to non-GAAP financial results and outlooks. For an explanation of our non-GAAP financial measures, please refer to slide three of this presentation or to our press release published earlier today. In addition, a reconciliation of GAAP to non-GAAP results is contained in today's press release, and in the supplemental information attached to today's presentation. I'll now turn the call over to Charles Liang, Chairman and Chief Executive Officer.
Charles Liang - Founder, President, Chief Executive Officer and Chairman of the Board: Thank you, Perry, and good afternoon, everyone. Please turn to slide four. First, let me provide you with the highlights of our fiscal first quarter. We are pleased to announce that, we achieved a record quarter of growth as our revenue reached $573.6 million, it's 21.7% higher quarter-over-quarter; and 34% higher year-over-year. Non-GAAP net income was $30 million or 20.3% higher quarter-over-quarter, and 54.6% higher compared to last year. Super Micro's non-GAAP earnings per share was $0.57 per diluted share compared to $0.47 last quarter or $0.40 last year. Slide five, please. In my comments today, I would like to discuss our results last quarter, as well as our achievements during the past fiscal year, and then, I will share our outlook for fiscal year 2016. Last quarter, we achieved a record-high revenue, which was 34% higher than last year. This strong first quarter performance push our full year revenue to $1.99 billion, almost $2 billion, representing 35.7% growth over last year. Once again, our quarterly and yearly growth rates are multiple times the industry's rate, indicating that we continue to take much share, as we have planned. Even though, some industry watchers believe that server industry is mature with minimal differentiation between manufacturers, we know based on direct customer experience that is not the case with Super Micro. Our strong performance is the direct result of our unique business model that enable our partners to succeed with the most innovative application optimized server and storage solutions ahead of our competition. In addition to Super Micro's broadest product range and time to market advantages, our product continue to deliver clear performance and feature advantages, such as best performance in heterogeneous computing with the 1U 4 GPU server, highest drive capacity with a 3.5-inch drive in the 1U space. You've seen the FatTwin, 90 SAS3 drives in the 4U JBODs and highest power efficiency in Data Center Optimized Servers with our TCO products. These are just a few examples of Super Micro's differentiation. Now, I would like to mention some notable growth areas from last quarter. Our direct strategic partner account for 49.8% of total revenues. Our Internet data center and cloud products represents 15.5% of total revenues, and our complete system business account for 61.7% of total revenues. Geographically, last quarter revenue in North America was 62.2%, Europe was 19%, Asia was 14.8%, and other regions were 4% of total sales. On a year-over-year basis, regional results for North America and Europe were in line with overall growth, while Asia grew minimally. We believe our continuous investment in infrastructure will directly drive growth in Asia and all geographies. Storage continue its robust momentum as a strong product driver with 79% growth year-over-year. Our Complete Rack Solution business with 64% year-over-year growth was another solid indicator of Total Solutions growth. In addition, Super Micro's FatTwin products grew 102% year-over-year, and Ultra Dense MicroBlade family demonstrates one of our strongest product launch last year. Slide six, please. Let's fully dive into our products. I would like to mention again that, our industry unique application optimized Building Block Solutions allowed Super Micro to excel in many different vertical markets. We have over 800 customers, many are Fortune 1000 companies, who'd rely on our leading technology, and differentiation solution to surpass their competitor in their market segment. Last year, Super Micro launched many new exciting products. For example, we recently launched 1U 4 GPU/Xeon Phi solution, which is the best performing accelerated server on the market. Our streamlined layout architecture that enable PCI-E direct connect for low latency and eliminate cabling the drivers, and GPU pre-heat for most efficient air flow and cooling. Also recently, we launched a 90-Bay HyperScale Storage Enclosure, featuring top-load hot-swappable drive bay for 90 3.5 inch SAS3 or SSD in 4U. This 4U enclosure supports up to 720 terabyte of capacity, providing high density, high performance storage for OpenStack, surveillance, archiving, and many more use, where scale-up and scale-out deployment is required. Earlier in fiscal year 2015, we began production of our MicroBlade, and it became one of our strongest product launches. MicroBlade come in many configurations, including 112-Nodes Atom or 56-Node UP Xeon or 28-Node DP Xeon in the 6U platforms. This innovative architecture is a unified microserver with networking, storage, and demand management optimized for cloud computing, dedicated hosting with content delivery and social networking applications. Last, but not least, one of the most important products we launched in fiscal year 2015 is our Ultra architecture. It is designed to deliver unrivalled performance, flexibility, scalability, and the serviceability, and that can be optimized for a variety of applications. Ultra come in 1U and 2U configurations. They support a CPU up to 36 cores and 160-watt TPP, 1.5 terabyte of DDR4 memory in 24 DIMMs, 24 NVMe and aPCIe. Moreover, due to its versatility, the Ultra architecture also serves as basis for many of our new systems solutions, such as 1U 4 GPU and 1U 10 NVMe system. One of the biggest strategic areas of growth for Super Micro in 2015 was our software and service business. While we began to offer software and service in 2014, this year many more customers began utilizing our Total Solution packages. For example, Supermicro Server Manager or SSM is a powerful multiple-feature single console server manager that configures multiple machine in parallel, including how to open system software or firmware upgrade to exponentially simplify system deployment and maintenance. It also supports the upcoming graphics API, therefore enhance our interface IPMI tools. In addition to our software management tools, we also start to ramp our service suite of offering in 2015. Super Micro's service is designed to help customer improve up-time, reduce cost, and increase the productivity of their investment in Super Micro products. Our service plan offers solution, consultation and tiered on-site service from four-hour response to next business day. We are especially excited that, today thousands of customer service package (13:32) around the world. Although, the combined contribution of software and service only accounts for about 1% of our revenue in fiscal year 2015, I'm confident that it can easily triple in fiscal year 2016, providing a proportionally greater impact to profitability. In addition to our margin benefit, software and service enable us to win strategic business, especially with enterprise customers. Slide seven, please. We have also been working on improving our foundation for future growth by expanding our global logistics and capacity. Yesterday, we had the grand opening of our first new building at our Green Computing Park with 180,000 square feet of additional manufacturing space in San Jose. Also, we are in the process of finishing a new building in the Netherlands, which will double our system integration capacity there. Together, the total capacity increase will be more than 35% over existing facilities, which will allow us to continue our industry-leading growth, heading into our fiscal year 2016. To summarize, we continue to outpace industry growth in multiples by growing 34% year-over-year this quarter. We added significant new product lines to our already industry-leading array of application optimized solutions, allowing us to penetrate deeper into our customer market. We expand our order-wide capacity to enable future growth in all geography. And our new software and service offerings are significantly a factor to grow our market value, with them, we are ready to deliver even higher value products, deploy more Complete Solution, and achieve more aggressive growth going forward. For more specifics on the first quarter, let me turn it over to Howard.
Howard Hideshima - Chief Financial Officer: Thank you, Charles, and good afternoon, everyone. I will focus my remarks on earnings, gross margins, operating expenses and similar items on a non-GAAP basis, which reflects adjustments to exclude stock compensation expenses. Reconciliation of GAAP to non-GAAP is included in the financial statements of the company in today's earnings release, and in the supplemental detail on the slide presentation accompanying this conference call. Let me begin with a review of the fourth quarter income statement. Please turn to slide seven. Revenue was $573.6 million, up 34% from the same quarter a year ago, and up 21.7% sequentially. The increase in revenue from last year was primarily due to our increase in Server Solutions, which was up 49.8%. On a geographical basis, we had strong growth in the U.S. of 42.3%; followed by Europe at 37.1%, while Asia was about flat. The sequential increase in revenue was primarily due to seasonally strong quarter. Both our distributor and subsystem and accessory business were strong at 32.6% and 29.9% growth over the prior quarter respectively. In addition, our storage business was particularly strong with 31.8% growth over the prior quarter, with the majority of this growth coming from our traditional storage business as we expanded our high-density storage solutions. Slide eight. Turning to product mix. The proportion of revenues from server systems was 61.7% of total revenues, which is up from 55.2%, the same quarter a year ago, and down from 64.1% last quarter. ASPs for servers was $400 [sic] $4,000 per unit, which is up from $3,300 last year, and from $3,900 last quarter. We shipped approximately 87,000 servers in the quarter and 1.317 million subsystems and accessories. We continue to maintain a diverse revenue base with about 800 customers. No customers represented more than 10% of our quarterly revenues. Cloud, Internet, data center revenue was 15.5%, which was a decrease from 20.7% in the prior quarter, and from 17.8% in the prior year. 62.2% of our revenues came from the U.S., and 50.2% from our distributors and resellers. Slide nine. Non-GAAP gross profit was $90 million, up 35.1% from $66.6 million in the same quarter last year; and up 16.8% from $77 million sequentially. On a percentage basis, gross margin was 15.7%, up from 15.6% a year ago and down from 16.3% sequentially. Price changes from Abelcom resulted in no basis point change to gross profit in the quarter with total purchases representing approximately 11.9% of total cost of goods sold, compared to 15.7% a year ago, and 14.7% sequentially. The year-over-year increase in gross margin resulted from higher sales in complete server solutions, which included products such as storage and FatTwin. In addition, we have seen a rise in our services and support business, which is about 1% of revenue. It is growing quickly, and have high margins. Sequentially, gross margins were down due to higher subsystem and accessory revenues, and traditional storage revenues in the quarter offset in part by an increase in our purchasing power, and higher utilization of the Taiwan facility at 68.1%. Slide 10 and 11. Operating expenses were $45.3 million, up from $37.2 million in the same quarter a year ago, and up from $42 million sequentially. As a percentage of revenues, operating expenses were 7.9%, which is down from 8.7% in the same quarter a year ago, and up from 8.9% sequentially. Our operating expenses were higher on an absolute dollar basis year-over-year, primarily in R&D as we invested in personnel expenses to support development of our Total Solutions. Sequentially, operating expenses were higher due to higher prototype and testing fees of approximately $1.4 million, and higher marketing and promotion costs of $0.9 million to support the development and promotion of new products. The company head count increased by 141 sequentially to 2,285 total employees to support the expansion of the business, such as enterprise, software and services. Operating profit was $44.8 million, up by 52.1% from $29.4 million a year ago, and up from 27.8% from $35 million sequentially. On a percentage basis, operating margin was 7.8%, up from 6.9% a year ago, and the same 7.4% sequentially. We continue to focus on many market opportunities while we leverage the investments we have made in our infrastructure to continue to drive our operating margins and profits. Net income was $30 million, up 54.6% from $19.4 million a year ago, and up 20.3% from $24.9 million, sequentially. Our non-GAAP fully diluted EPS was $0.57 per share, up from $0.40 per share a year ago, and down from 47% – up from $0.47 per share sequentially. The number of fully diluted shares used in the fourth quarter was 52,609,000. The tax rate for the fourth quarter on a non-GAAP basis was 32.6% compared to 33.6% a year ago, and 28.3% sequentially. The higher rate sequentially was due to the retroactive reinstatement of the R&D tax credit in December of 2014. We expect the effective tax rate on a non-GAAP basis to be approximately 34% for the September quarter. Should the R&D tax credit be reinstated in December 2015, like it was in 2014, the impact may be 7% lower rate in the December quarter. This would make the annual non-GAAP tax rate for fiscal 2016 similar to fiscal 2015 and fiscal 2014, which was 30.1% and 30.6% respectively. The company continues to work on our tax planning as we continue to expand overseas. Turning to the balance sheet on a sequential basis. Slide 12. Cash and cash equivalents in short and long-term investments were $98.1 million, down $13.9 million from $112 million in the prior quarter, and down $1.5 million from $99.6 million in the same quarter last year. In the fourth quarter, free cash flow was a negative $64.2 million, primarily due to the increase in accounts receivable of $101.2 and $34.6 million increase in inventory, offset in part by the increase in accounts payable of $36.8 million described below, as well as an increase in short-term debt of $48.5 million. Slide 13. Accounts receivables increased by $101 million to $322.6 million due to the higher revenue sequentially. DSOs was 43 days, a decrease of 3 days from 46 days in the prior quarter. Inventory increased by $33.1 million to $463.5 million to support the growth of the business. Days in inventories were 83 days, a decrease of 13 days from 96 days in the prior quarter. Accounts payable was $299.8 million, which was 52 days, a decrease of 10 days from 62 days in the prior quarter. Overall, cash conversion cycle days was 74 days, which is 6 days lower than the prior quarter. Now, for a few comments on our outlook. During the first quarter, we continue our strong growth in a seasonally strong quarter. For the fiscal year 2015 revenue was $2 billion, and EPS was $2.15, which represented growth from the prior year of approximately 35.7% and 60.4% respectively. As we enter fiscal year 2016, we look to continue to take advantage of our broad breadth of solutions, which includes software and services to take advantage of the expanding market opportunities, which have opened up to us, as well as the leveraged investments we have made in our operations, such as our SAP implementation and new facilities to drive our strong growth and profitability in a seasonally weak quarter for the industry. Therefore, the company currently expects net sales for the quarter ending September 30, 2015, in a range of $520 million to $580 million. Assuming this revenue range, the company expects non-GAAP earnings per diluted share of approximately $0.49 to $0.59 for the quarter. At the midpoint, this will represent a growth of 24.1% and 17.4% in revenue and EPS, respectively, from the prior year. Looking forward beyond this quarter, we have updated our target for the coming two years to be 16% to 18% on gross margin; and 7% to 9% on operating margins. These targets reflect our strategy to take advantage of the opportunities we have to take market share, while still maintaining our discipline and controlling our operating costs. It is currently expected that the outlook will not be updated until the release of the company's next quarterly earnings announcement. Notwithstanding subsequent developments, however, the company may update the outlook or any portion thereof at any time. With that, let me turn it back to Charles for some closing remarks.
Charles Liang - Founder, President, Chief Executive Officer and Chairman of the Board: Thank you, Howard. For 22 years, we have been a customer-centric technology company, always listening to them and developing innovative products that our customers appreciate. Now, with our software and service package fully ready, we are able to create more complete Total Solutions, greater product value, and achieve higher level of customer satisfaction. We have more than doubled our revenue in the last three years, and by continuing our focus on our advanced product lines and customers, we expect to make another aggressive dip of growth in the coming years. Operator, at this time, we are ready for questions.
Operator: Thank you, sir. And we'll go first to Alex Kurtz with Sterne Agee.
Alex Kurtz - Sterne Agee: Hey, thanks, guys. Can you hear me, okay?
Charles Liang - Founder, President, Chief Executive Officer and Chairman of the Board: Yes. Yes, we can.
Alex Kurtz - Sterne Agee: Hey, Charles. So, Howard, I just want to drill in a little bit on the margin. It sounds like this was largely due to the higher component mix. Would you expect that to reverse itself next quarter, and was there anything else in there that was a heavy weight on what drove the gross margin off a little bit this quarter?
Howard Hideshima - Chief Financial Officer: No, Alex. I think, as I said in this – subsystems and accessory business was higher this quarter. It grew quite frankly about 30% quarter-over-quarter sequentially. So again that, as you know, we talked about it, component and subsystem business is at a lower margin than our complete server solution business. We do expect that our complete service solution business will continue to grow.
Alex Kurtz - Sterne Agee: Okay. And just two quick follow-up questions here, Howard, on the tax rate, you said 34% for Q1. What was the guidance for the year again? Was it back down to 30% for the year?
Howard Hideshima - Chief Financial Officer: Yeah. We said it would – would be around – we said that the – if the R&D tax credit was put back in, like it was in 2015, then we would see similar, yeah, a reduction in our rate by about 7% in that December quarter. And then, if it did happen, that the rate overall for fiscal 2016 would be similar to fiscal 2015 or 2014, which is about 31%.
Alex Kurtz - Sterne Agee: So we should effectively be modeling 31% for the year?
Howard Hideshima - Chief Financial Officer: Again, it depends on the timing of the R&D tax credit.
Alex Kurtz - Sterne Agee: No, I understand. And I'll just put this to Charles, and all three of you. You guys have talked about this $3 billion annual goal by fiscal 2017. It certainly seems like you're on that pace. Any reason you wouldn't be able, any change from that view?
Charles Liang - Founder, President, Chief Executive Officer and Chairman of the Board: At least at that pace, if not faster.
Alex Kurtz - Sterne Agee: Okay. Good to hear, Charles. Thank you, guys.
Charles Liang - Founder, President, Chief Executive Officer and Chairman of the Board: Thank you.
Operator: For next question, we'll go to Mark Kelleher with D. A. Davidson.
Mark D. Kelleher - D. A. Davidson & Co.: Great. Thanks for taking the questions. Congratulations on a torrid top line growth rate pace there. That growth though, is putting some pressure on your balance sheet as your working capital struggles to keep up. Is there a possibility or an element of increasing your pricing to slow the top line down? How do you think about gross margin versus that torrid top line versus your working capital that has to support that?
Howard Hideshima - Chief Financial Officer: Well, I think, Mark, as we talked about before, I think there's a wonderful opportunity for us to take market share right now, and we're going to continue to focus on that part of it. There's lots of opportunities for us to go out there and go get, as Charles talked about, our top line growth, and what have you. But again, we'll be looking at that, and then we're looking at the working capital needs of the company to properly support that.
Mark D. Kelleher - D. A. Davidson & Co.: All right. And just as my follow-up, the – can you just give us an update on where you think the Grantley Haswell cycle is? I know we ask you that every quarter, but we seem to be getting further along down that cycle, and maybe some thoughts further beyond to Broadwell coming up, how does that play out?
Charles Liang - Founder, President, Chief Executive Officer and Chairman of the Board: In terms of new product status, we feel still in the ramp-up mode. And yes, the Broadwell is coming soon. So overall, I believe the product line advantage will continue to happen. And especially, once we announce the 1U 4 GPU, and kind of 90-Bay in 4U JBOD, that will be our strong product.
Mark D. Kelleher - D. A. Davidson & Co.: Okay. Thanks.
Operator: We'll go next to Aaron Rakers with Stifel.
Aaron C. Rakers - Stifel, Nicolaus & Co., Inc.: Yeah. Thanks. A couple of questions if I can, as well. So first of all I want to – I'd like to dive a little bit deeper in your enterprise traction. I know you talk about software and services being about 1% of total revenue. It looks like your direct business excluding the Internet, data center grew a pretty solid 52% year-over-year. I also believe you said that you had 800 cumulative customers. I think last quarter it was 700. So can you talk a little bit more about the success you're seeing in the enterprise segment, what enterprise represents as a percentage of total, inclusive of the software and services, and where you expect that to play out through the course of this year? What kind of contribution you're expecting for the full year from enterprise?
Charles Liang - Founder, President, Chief Executive Officer and Chairman of the Board: Yeah. I mean, our software and service program although start from fiscal year 2014, but it really grow much quicker in 2015. We grew almost triple last year, and looking forward, looks like the growth rate will be continuing very fast, because it's finally a very mature, very strong product. And that's why we are able to approach more and more enterprise customer, and after two year's usage, they have been really happy with whatever total solution we provide. So we feel pretty positive in that area.
Aaron C. Rakers - Stifel, Nicolaus & Co., Inc.: Any estimate of how – what kind of percentage that could look like as you exit fiscal 2016?
Charles Liang - Founder, President, Chief Executive Officer and Chairman of the Board: Hopefully another triple this year, so hopefully 3% for example for software and service.
Aaron C. Rakers - Stifel, Nicolaus & Co., Inc.: Okay. And can you talk a little bit – the second follow-up question is on the gross margin trajectory. What drives the differential between 16% versus the high-end of the band of 18%? And what you're assuming as far as the ramp of your utilization rate in the Taiwan facility?
Howard Hideshima - Chief Financial Officer: Yeah, Aaron, this is similar to what we talked about in the past. I think the levers for us, for our gross margin are still there, continue to ramp the Taiwan utilization for us, continue to build the scale of our business. And so that includes our purchasing power, improve the mix of our total server solutions. Then as Charles mentioned, the services and support portion of our revenue, as that grows, that provides us with margin uplift there, too. So those three levers are available to us, and still we're trying to execute through those levers.
Aaron C. Rakers - Stifel, Nicolaus & Co., Inc.: And do you still think you hit the 80% utilization rate in the Taiwan facility over the next quarter or two?
Howard Hideshima - Chief Financial Officer: We do believe so.
Aaron C. Rakers - Stifel, Nicolaus & Co., Inc.: Okay. Thank you.
Operator: We'll go next to Nehal Chokshi with Maxim Group.
Nehal Sushil Chokshi - Maxim Group LLC: Thank you. Just want to revisit the balance sheet there, because that seems to be the crux of many bear arguments I've heard. And especially in this quarter, the accounts receivable did increase $100 million Q-over-Q, versus last year, it increased only $20 million Q-o-Q. Albeit Q-o-Q revenue growth was $100 million for this June quarter versus $50 million a year ago. But it still does not seem to compute, and I think there's some concern that you may have pulled forward some demand, or is looking to move inventory that may have been getting old. So can you just address that bear argument point blank?
Howard Hideshima - Chief Financial Officer: This is Howard, again. I don't believe that there is any pull-forward or revenue per se. It was a seasonally strong quarter. We have lot of new opportunities out there to take advantage of, and we're leveraging on those opportunities per se. How do I put it? The enterprise space is opening up to us. A lot of the market opportunities we talk about are opening up to us, and some of those customers do demand longer terms, I've talked about before with regards to that. So again our DSOs are affected by that.
Nehal Sushil Chokshi - Maxim Group LLC: Okay. Great. Thank you. And if I may ask a follow-up question with respect to enterprise model. For the service line, what's the pricing model of that? Do you target a percent of sales on that service there? And can you also comment on what you expect the operating margin profile for products being sold into these corporate data centers relative to your overall margin profile?
Charles Liang - Founder, President, Chief Executive Officer and Chairman of the Board: Yeah, for software and service issue, probably the margin is much higher. However, overall our revenue only about 1% for fiscal year 2015, and for 2016, I hope we are up to 3% or even more. So that one will be long-term growing, very positive factor. But yes, the percentage still small, although faster growing.
Unknown Speaker: Okay. Thank you.
Charles Liang - Founder, President, Chief Executive Officer and Chairman of the Board: Thank you.
Operator: Go next to Mehdi Hosseini with Susquehanna.
Mehdi Hosseini - Susquehanna Financial Group LLLP: Yes. Thanks for taking my question. I want to go back to the mix, it seems like your server business was pretty good, but the top line upside was mostly driven by system and accessory. And if I were to compare your performance to the rest of the competitors this earnings season, it seems like you're gaining share. And I want you to help me understand what has enabled you to gain market share if it's indeed a share gaining story? And how should we think about the mix going forward? How should we think about the data center mix in the first half of fiscal year 2016? And I have a follow-up.
Charles Liang - Founder, President, Chief Executive Officer and Chairman of the Board: Yeah, I mean – very good question. Basically, we have much better product, especially for (36:56) application, we have specifically optimized product for them. So customer appreciate that. And also our enterprise customer, they need on-site service. They need software for system management. Before we were pretty weak in that area, but now become much stronger, and we'll be – continue to be stronger. So we are gaining enterprise segment kind of consistently now, and better product, especially application optimized.
Mehdi Hosseini - Susquehanna Financial Group LLLP: And then, how should we think about the mix into the first half of the fiscal year 2016, especially with the data center?
Charles Liang - Founder, President, Chief Executive Officer and Chairman of the Board: Data center indeed, it really depends on our production capacity, kind of before our limitation, pretty much production capacity. So now, with our building (37:53) grand opening, yesterday, and another new building in Netherlands, we'll be ready to move in next month. So we have much more space, much more capacity for new data center business now. So if we like, we can grow that area much more aggressively than before.
Mehdi Hosseini - Susquehanna Financial Group LLLP: Okay. And then moving onto the storage. What the mix of next-gen storage this quarter, this past quarter, and how should we think about looking forward?
Charles Liang - Founder, President, Chief Executive Officer and Chairman of the Board: For next-generation storage, our volume had been growing very consistently. I guess, year-over-year we grew about 80%...
Howard Hideshima - Chief Financial Officer: 79%.
Charles Liang - Founder, President, Chief Executive Officer and Chairman of the Board: 79%.
Howard Hideshima - Chief Financial Officer: In total.
Charles Liang - Founder, President, Chief Executive Officer and Chairman of the Board: In total. So in terms of next generation storage also, about that percentage, because we grew both for traditional storage and next-generation. I guess that percent is pretty close.
Mehdi Hosseini - Susquehanna Financial Group LLLP: So the next-gen storage was up almost...
Howard Hideshima - Chief Financial Officer: Yeah, guys. Maybe just to elaborate on your question. Actually for the Q4 versus Q4 of 2014 and 2015, actually next-gen grew about 94% year-over-year same quarter.
Mehdi Hosseini - Susquehanna Financial Group LLLP: And is it still accounting for half of your overall storage?
Howard Hideshima - Chief Financial Officer: Roughly a little less than half for the fourth quarter.
Mehdi Hosseini - Susquehanna Financial Group LLLP: Got it. Thanks so much.
Operator: We'll go next to Brian Alger with ROTH Capital Partners.
Brian Alger - ROTH Capital Partners LLC: Good afternoon, everyone, and again, congrats on what was a great quarter. I want to come back to Mehdi's question with regards to the strength in the accessories business. The systems business was great, in line or a little bit better than what we expected, but I was really surprised by the subsystems and accessories, can you maybe elaborate there in terms of what drove that growth, and where the demand came from?
Howard Hideshima - Chief Financial Officer: Yeah. I think it goes in sync with what we talked about, the distributors are primarily the guys who buy the subsystem accessories business. You'll see a lockstep, kind of move with our distributor business, and our subsystems and accessories business. So distributor business was or channel business was very strong for us this quarter.
Brian Alger - ROTH Capital Partners LLC: And given the geographic mix, I'd presume that there was distributors here in the U.S. as opposed to say Europe or Asia?
Howard Hideshima - Chief Financial Officer: Yeah.
Brian Alger - ROTH Capital Partners LLC: Great. Great. And then as we look at the systems business, the one area that I haven't heard you really talk about – we've talked about servers and we've talked about storage. What about networking? How's the networking moving? I know it's relatively new there, but is that something that's continuing to grow for us?
Charles Liang - Founder, President, Chief Executive Officer and Chairman of the Board: Yeah. Our networking solution is part of our Total Solution, and that has been growing consistently, although not as fast as our storage. But long-term, yes, that will be one of our focus as well.
Brian Alger - ROTH Capital Partners LLC: Great. Great. Again, guys, great quarter.
Charles Liang - Founder, President, Chief Executive Officer and Chairman of the Board: Thank you.
Operator: Next we'll go to Rich Kugele with Needham & Company.
Rich J. Kugele - Needham & Co. LLC: Thank you. Good afternoon. A few questions. The – in terms of the issues that impacted you negatively last quarter from the port crisis, getting the chassis and Taiwan program that had been delayed, we assume – should we assume from the revenue that all those issues were resolved, and you were able to ship all your backlog?
Howard Hideshima - Chief Financial Officer: Yes.
Rich J. Kugele - Needham & Co. LLC: Okay. And when you look at storage, how much was it as an overall percent of revenue?
Howard Hideshima - Chief Financial Officer: About 21%.
Rich J. Kugele - Needham & Co. LLC: I know you don't want to talk about fiscal 2016 right now, but just directionally, do you think that, it can continue to increase as a percent? Or would you anticipate that the systems side just broadly catches up, and maybe it will stay where it is?
Charles Liang - Founder, President, Chief Executive Officer and Chairman of the Board: Yes. We continue introducing even better storage system. For example, 4U 90-Bay and lots of other (42:10) storage Total Solution. So I believe storage product line in terms of percentage will continue to grow.
Rich J. Kugele - Needham & Co. LLC: Okay. Then just lastly just to understand the timing of the capacity coming online, and the potential impact to gross margin. Should we assume that the first half of fiscal 2016 sees a dip as that capacity comes online? Or can you bring it on linearly as the revenue needs it?
Charles Liang - Founder, President, Chief Executive Officer and Chairman of the Board: We will control the margin kind of like we have a strong demand from our big data center, but only when we have extra capacity or in-house capacity, otherwise we are little bit selective for customer.
Rich J. Kugele - Needham & Co. LLC: Okay. Excellent. That's helpful. Thanks a lot.
Howard Hideshima - Chief Financial Officer: Thank you.
Operator: And this does conclude the question-and-answer session of our conference call. I would now like to turn the conference back to Mr. Liang for any closing remarks.
Charles Liang - Founder, President, Chief Executive Officer and Chairman of the Board: Thank you for joining us today, and we look forward to talking to you again at the end of this quarter. Thank you, everyone. Have a great day.